Eivind Roald: My name is Eivind Roald, and I'm the new CEO of Norse Atlantic Airways from December last year. I'm here to present the Q4 results together with our CFO, Anders Jomaas. Before I start, I will give a quick introduction to my background, and I'll also share some reflections on why I took the position as the new CEO. I have more than 30 years of experience from various executive positions in Scandinavian companies. I've been leading the turnaround in Hewlett Packard as Managing Director for many, many years. I was the Executive Vice President and Chief Commercial Officer in Scandinavian Airlines for many years, and I've also been leading European software companies and worked for several PE companies as well. When I accepted the position for this job, I was discussing and looking into Norse. And I see that this company has a very good foundation for actually becoming a very profitable company in the future. First of all, they have a very attractive leases agreement that goes for many years from now. They have a very competitive product that reach the market, and we see that with all the high load factor we have during the whole -- all the quarters as well. The balanced model with more than 50% of the aircraft now outsourced to Air IndiGo is also giving us an unforeseen revenue stream and indirectly also hedging the fuel that is an important part of the cost focus these days and an industry-leading ancillary sales -- ancillary sales that gives us a good foundation for actually increasing the revenue as we go in the future as well. We do also see some need for improvements when I look into the company. I think we need an even more clear business idea what we should focus on. We need to optimize the network to make sure that we reach the right destination and also the utilization of our aircraft. We need to accelerate the commercial initiatives, and we also need to ensure that we have flexible crew agreements to make sure that we can meet the different needs in the market. The needs for a more simplified organization and also taking more cost out is also an important part of what we needed to work on. And we have seen during the last months that we are struggling a little bit on the way we communicate towards our customers, and that's needed to be a focus as well. Cost will be an important part of the focus going forward. And basically, that was also the foundation for why I thought this was a very interesting opportunity to sign on. So let's look at some of the figures for Q4. I will try to focus on actually what's an important part of the Q4. The Q4, as such, is a big -- is a quarter with 2 months where we struggle a little bit on October, November, and then we saw the turning point came in, in December. The decision that the company took in 2025, where they decided on the ACMI agreement with Air IndiGo, where they decided also new network to focus on more to Asia with Thailand and as the most important part has now started giving good results. And that the turning point that came actually in December. December was a profitable month for Norse. And we also -- even though that we saw some irregularities during that month and have some extra cost that is a onetime cost, that month came out as a positive month. But the Q4 as such was a significant better revenue from $123 million to $156 million in revenue. The EBITDAR came in on a minus $3.1 million and an EBIT on minus $22 million. The load factor is still high during the whole month, whole quarter. And if we take a look at the 2025 figures, we see that it's a significant improvement from 2024 now with an EBITDAR on plus $56 million and an EBIT on minus $20 million, significant improvement from almost minus $100 million in 2024. We also have a huge impressive growth on the passenger side from $1.4 million to $1.8 million, and the load factor is still quite high. So the turning point we're talking about in December is an important part for investors to look into. And to give you some few more data points to have in mind, we had in December specifically a passenger growth of 22% with a production of plus 14%. And the TRASK growth was for that month, 6%. And we communicated in our traffic report for January that the TRASK increased by 20%. And later in the presentation, I will come back to say something about what that number is in February and also in March. The turning point came after the decision that the company took in 2025. They said they took strategic measures, they have now implemented the measures, and we now see the results. And that should be the main focus for investors going forward, not to look too much into Q4 as such, but more looking into the turning point in December and look forward. And if you look at December on the TRASK side, we see that November came in on plus 7% year-over-year, December 6% and then January, 20%. And as I said, I will come back to indicate a little bit more about February and March later in the presentation. On the ACMI side, we have completed now the delivery of the sixth aircraft to Air IndiGo. And as we have communicated earlier, we have a minimum revenue of 350 block hours per month. And as you see on the graph here, we are way above that for every month. And that gives us a more focus and more safe revenue side from Air IndiGo the coming year as well, an important part of having a better understanding of how the year will really come out. So with that, I will give the word to our CFO, Anders Jomaas, that will take us through some of the numbers in more detail.
Anders Jomaas: Thank you, Eivind, and hello, everybody. I will give you some more insight into the Q4 numbers and the '25 per se. So if we start now looking at Q4 '25 and looking at the passenger numbers, we see that we fly a lot more, we have record high load factors. We are seeing 96%. Passenger numbers also increasing. We see that we go from 339,000 passengers Q4 '24 to more than 400,000 this quarter. Revenues keep coming up. Although EBITDAR and EBIT are lagging somewhat, we would like to see those higher. But if we look at the quarter -- sorry, the full year of 2025, we see the same trends. We see increasing number of flights. We see load factor increasing. We see passenger numbers increasing. Revenues are significantly up. And for the full year, we also see the improvement on EBITDAR and EBIT, where we have EBIT of $56 million -- sorry, EBITDAR of $56.5 million for the full year compared to $0 for '24. So this is the trajectory we're on of gradually increasing, and Eivind will also come back to our outlook for this year. Some key terms to note when we talk -- Eivind, you talked about TRASK, which is total revenue per available seat kilometer. This is important unit metric when we do our reporting. Similarly, CASK is cost per available seat kilometer. And it's basically the difference between the 2 that is important for us. So we see in this quarter that we improve TRASK by 3% -- sorry, for this year, we see that we improve TRASK by 3%. We reduce CASK by 10%, and we do that in an environment where we fly 20% more. So these are the important drivers for what's ahead for Norse. Looking at the quarter itself, we are -- we now see that we are able to also increase passenger revenue. The revenue per passenger is up 10% year-on-year from $343 in average per passenger to $379 this quarter. We also have a big belly on this aircraft and volumes have been relatively stable, a little bit lower, but we see higher prices also on the cargo side, which is an important contribution to the overall profitability of our company and our industry. I even mentioned that we fly a lot more to Thailand, Southeast Asia. These routes have been particularly strong in terms of cargo. We transport salmon going east, and we have a lot of e-commerce, especially around November, December season going back. Looking at Q4 in particular and focusing first on the mid-section of this graph, where we say that here you will see that we fly a lot more. ASK is available seat kilometer, basically how much production we deliver. So we produced 44% more seat kilometer this quarter compared to same quarter last year. The composition last year was 80-20 in terms of network and ACMI. Now it is shifting 62:38. And going forward, you can increase -- you can expect this to balance and be even more like 50-50-ish. So we produce a lot more, but we also produce more ACMI. Why this is important is that the cost base on ACMI is lower, meaning we do not pay for the cabin crew. We do not pay for the fuel. So this is, in fact, an implicit fuel hedge. And when we have 6 aircraft delivered to IndiGo, we actually have fuel hedged for 6 out of 12 aircraft. And we also do not pay for the airport charge and the handling. So the lower cost base also means that we -- the revenue is in U.S. dollars lower, but the margin is very healthy on the ACMI business. So if you look at the CASK, it has actually reduced from 4.5 to 3.6. The revenue TRASK is also down, but the important margin is increasing from 0.3 to 0.5. So actually a 70% increase in margins due to this shift we're seeing. We are continuously working on reducing CASK. Eivind mentioned there are several cost initiatives going on in the company. This will continue to go through the year and the coming years, continuous focus. But we are happy to see that we are reducing by 19% quarter-over-quarter, partly driven by the shift to ACMI, but also we see that we are able to reduce costs on certain important areas. If we look at the numbers, Eivind mentioned a few, I'll go a little bit more in detail on some of them. Revenue for Q4 was $156 million, up from $123 million same quarter last year. Personnel expenses, $43 million, which is driven by higher production, some general wage increases, some special one-offs, but also worth noting that FX has gone against us somewhat in the quarter, so approximately $2 million of the personnel expense increase is related to FX only. Fuel is a derivative of how much we fly. We have flown 11% more in the quarter, but also fuel prices have been higher, 7% higher in Q4 '25 than in Q4 '24. Other OpEx is mainly technical maintenance and again, a clear derivative of how much we fly. There is a one-off expense in there related to the engine incident in Q3 last year of $4.5 million, which will not be there in the coming quarters. SG&A, also a focus, glad to see that coming down, but there's further potential for further reductions also there. EBITDAR for the quarter, negative $3 million, EBIT negative $22 million and bottom line, $33 million loss for the quarter. Looking very quickly at the full year '25, revenues of $734 million and a positive EBITDAR of $56.5 million, leading to a loss of -- sorry, $61 million for the year. In terms of cash flow, we see that there is a negative cash flow from operations in Q4. Many reasons for that. We have talked about the cost base. We talked about the one-offs. We talked about the FX, continuous focus area. Working capital is reducing, and that is reflecting also the transition to ACMI and Charter. Financing cash flows of $7.5 million is related to a large extent to the equity raise we did in October, relatively small equity raise with net proceeds of $11 million, but that is in that number. Free cash end of the quarter, $18 million. Looking at the balance sheet. And for those of you who have followed us for a long time, you know that one to watch is the credit card receivables, which is $72 million. So it actually means that the acquirers as they call, or the credit card companies, they are sitting on $72 million of our funds. We are working on streamlining the whole payment flow in our company and to gradually reduce that. You'll see that it has come down, but we will continue to work on good solutions to make sure that we collect funds even earlier as we move forward. Equity for the company is negative $260 million, but keep in mind that as much as $175 million of that is noncash lease effects. So that was a lot of numbers. Eivind, I think I'll give the word back to you.
Eivind Roald: Thank you, Anders. When I started, I was given a clear mandate from the Board that was to accelerate the already decided changes. And therefore, together with my management team, we have launched a product called Falcon. The Falcon project is focusing on a number of measures to secure that we now deliver a company that is profitable and where the investors can have trust in us in the future. Here is just some few examples on what kind of areas we are focusing on. And several of these have already also been decided and are under execution. We need, for example, to look into a much more flexible way of looking at where we can have much more profitable business. We have a lot of interest for ad hoc charter, for example, football in U.S. this summer is just one example. We also have a very good relationship with P&O Cruises and that has also asked for even more capacity for winter in '26 and '27. We look into all these kinds of interesting areas to put our aircrafts. To be more flexible also to find new destination is one of the things we also will look more into too. We will have a more focus on our premium products, so we will be able to increase the yield on that. And we will also need to look into the agreements with our crews to be sure that we have a more flexible model for where we can put our capacity. Reduction of SG&A goes without saying, it needs to go down, and we work on several initiatives within that area as well. That means we also will look into what should we keep internally and what we potentially can outsource. Every stone will be turned around and we looked into because we think we are now in a good position to deliver a company that will be profitable in the coming months. We started in January with the traffic report to be a little bit more open on our data points. And we would like to continue that to make sure that investors have a better platform to evaluate our performance. In this graph, you will see that we now give you an indication about how both Q1 and Q2 looks on a -- from a TRASK perspective. In Q1, we are selling our seat price an average of 40% higher price versus the same period in 2025. And for Q2, we are still 10% above. And we're still holding back selling seats to make sure that we can give up in the coming months. That means for TRASK in February, month-to-date, we see a clear indication of 20% year-over-year growth. And we already now see a year-over-year growth for March in the range of 20% to 30% for the March. In total, this says something about that the turnaround that started back in December accelerated in January, now continue. On the revenue side, we are quite confident. And with that as a backdrop, we also indicated to the market this today that we see a full year EBITDAR in the range of USD 130 million to USD 150 million and an EBIT in a range of USD 20 million to USD 40 million for the year. We have a lot of things to do, and we have a management team that is dedicated to deliver a profitable company in the coming months. And we look forward to have you on board as investors and that you can follow us also in the next quarter to come. With that, I will open up for Q&A.
Operator: All right. We have a few questions here. We have room for a couple. The first one is you reduced the fleet through redeliveries and shifted half into ACMI. Is Norse becoming more of a capacity provider than a branded airline?
Eivind Roald: The question was that we have delivered 3 aircraft back and that we have now an agreement with Air IndiGo for 50%, and we will move toward a more capacity provider than a pure airline. What I will say is that we will focus on where we can get the most margin out of it, where we can have most profit. If that means that we, for some period, will increase on having more outsourced to either if that is Air IndiGo or is it P&O Cruises or if it's others, that will depend on where we can get the highest margin. Margin will be the focus for the company. We just need to make that this company to be profitable. So that will be the focus.
Operator: Are you seeing a booking spike on the FIFA World Cup in the U.S. this summer? And can Norse monetize on that opportunity?
Eivind Roald: The question is if we can see a booking spike for the FIFA World Cup this summer. We see that it's still a huge interest for the FIFA World Cup. And we see specifically on ad hoc charters, we have tons of requests on ad hoc charters, and we are evaluating that now day by day, and we'll conclude if we should take some of our aircraft and deliver as an ad hoc charters for the FIFA World Cup.
Operator: Good. Last question. with 2026 outlook, what gives you confidence this is finally the year Norse becomes sustainable profitable?
Eivind Roald: So the question is what -- what we feel confident on the profitability for this year. First of all, the turning point started in December, and we have a great momentum. We see that on the trust, both for December, January, February and March. We have taken important decisions like outsourcing of 6 aircrafts that also indirectly, as Anders has said, is a hedging of the fuel that is a huge, huge cost for the company. We have put in place several actions for driving cost down, and we are underway to actually launch more cost initiatives as well. As far as we can see into the future, and of course, it's difficult to see the 9 to 12 months from now, but we have a super interesting product that the response in the market is very, very high, and we are confident that we will deliver these numbers for 2026. Thank you so much for listening in.